Kimberly Stewart : Good morning. Welcome to Renault's 2018 Financial Results Presentation and Conference Call, which is being broadcast live and will be available for replay via our website. The presentation, press release, and activity pack for this call, are all available on our website in the Finance section. I would like to point out the disclaimer on slide 2 of the presentation regarding the information contained within the document and the forward-looking statement. I invite all participants to read this attentively. We are delighted to have with us today Groupe Renault's Chief Financial Officer and Executive Vice President, Clotilde Delbos, who will take you through our 2018 financial results highlights, followed by our Chief Executive Officer Thierry Bolloré, who will share with you our 2018 key achievements and 2019 outlook. Afterwards management will comment. After management comments, we will take you through your questions and provide answers. I'll now turn you over to Clotilde to cover the year in more detail. Clotilde?
Clotilde Delbos: Thank you, Kimberly, and good morning, everyone. Before reviewing our results in detail, I would like to emphasize that despite a quite challenging environment especially during H2, we achieved all of our guidance, KPIs and maintained our operating margin at a very high level. Groupe Renault delivered €57.4 billion in revenues, a slight decline of 2.3%, but up 2.5% before ForEx impact. Our operating margin reached 6.3% or 6.5% before IFRS 15 impact. And our automotive operational free cash flow amounted to €607 million. Starting with slide 5, let's have a quick review of our commercial results released on January 18. Groupe Renault unit sales increased 3.2% to 390,0000 including Jinbei and Huasong sales for 166,000 units. At 2017 scope, Groupe Renault unit sales declined 1.2% in a world market that contracted by 0.3%. Taking a closer look per region European market was stable in which Groupe Renault performed just slightly better at 0.5% compared to 2017. In Eurasia, sales were up 2% including Lada, in a market that was down 2%. This results from a good performance in Russia and Romania but was largely offset by the heavy fall in the Turkish market. In the Africa-Middle East-India region, our sales declined by 15.8%, largely due to the closure of the Iranian market and a lack of new product in a highly competitive Indian market. In Americas, sales grew 12.1%, despite the sharp decline in Argentina in H2, thanks to the success of Kwid. The Asia-Pacific region increased sales by 68.3% with Jinbei/Huasong. Excluding these brands, sales were down 15.4% as sales in China and South Korea declined. Slide 6 shows group revenues per activity. Groupe Renault's revenues reached 57.4%, -- €57.4 million, sorry, a decline of 2.3%. Revenues for automotive excluding AVTOVAZ division was €51.2 billion, down 4.4%. It should be noted that this change include the negative impact of a change in accounting treatment related to IFRS 15, which led to the transfer of €555 million in revenues from the Automotive division to the Sales Financing division. Before this impact the variation would have been minus 3.4%. As you can see on the slide, growth rate in H1 was significantly better than the second half, which declined 8.4%. H2 has notably been impacted by a downturn in sales to partner, combined with economical and geopolitical headwinds outside of Europe in some of Groupe Renault's key markets. We were partly able to offset this through pricing. Revenues from AVTOVAZ net of elimination reached €3 billion, up 11.5%. Revenues from our captive finance company RCI Banque increased by €27.7 million to €3.2 billion. This change includes the transfer of €555 million already mentioned. Without this effect, revenue growth would have been plus 5.6%. On the following slide, we take a closer look at the automotive revenue variance. From left to right, we see in the first bucket a volume decline of €250 million, or minus 0.5 points. This contraction stemmed mainly from the fall in the demand in Argentina and Turkey in H2, while in Europe, our sales were up 0.5% over the year. The geographical mix was stable, product mix was minus 0.2 points on the strong success of Kwid in Americas, lower sales from C and D segment cars in Europe and lower proportion of diesel sales. Price effect impacted positively by 1.4 points, or €742 million driven by price increases in some emerging markets to mitigate the negative impact of the ForEx, but also in Europe to mitigate regulation cost. The downturn in Europe diesel demand and the closure of the Iranian market are the main drivers behind the decline of sales to partners, which impacted negatively by 1.8 points or minus €946 million. As you can see on the slide, currency had the most significant a negative impact on 2018 revenues, down 4.1 points amounting to €2.2 billion. In this bucket, the Argentinian peso accounted for almost half of the impact, while the real and the Turkish lira explained in another quarter. In the last item others, it was a positive of 0.8 points. Beyond the negative effect from the change in allocation between the Automotive segment and RCI already mentioned, the performance came from the used vehicle and sales parts activities and lower sales with buyback commitments. Now let's turn to Groupe Renault's operating profit by activity on slide 8. In 2018, the automotive operating profit excluding AVTOVAZ declined 19.8% to €2.2 billion. It represents 4.3% of revenues on lower margins in H2 at 4.1%, which I will cover in more detail shortly. AVTOVAZ contribution to the operating profit amounted to €204 million, compared to €55 million, which marked a new stage in the company's recovery. Excluding various positive one-offs, representing a bit more than a third of the operating profit, this would nevertheless be a significant improvement. RCI Banque delivered a €1.2 billion contribution to Group earnings, an improvement of 14.7% notably due to commercial performance and strict cost control. In total for 2018, Groupe Renault's opening profit stood at €3.6 billion, or 6.3% of revenues, compared with 6.6% in the previous year, before IFRS 15 impact the margin would have been 6.5%. Let's have a closer look at Slide 9 at operating profit variances. To the left of the step chart we see, Groupe Renault's cost reduction activities contributing €362 million of which Monozukuri contributed positively €421 million. Looking at cost reduction in more details on slide 10. Savings from purchasing came to €600 million. It is worth noting that this performance would have been much higher if we had not assisted some of our Turkish suppliers impacted by the lira devaluation, inflation and falling demand. Warranty costs were up €83 million, notably because of provision booked for recently launched powertrains and provisioning rate adjustment on some vehicles. R&D impact on the P&L was a positive €38 million. This stems primarily from the capitalization rate rise which stood at 48.6% versus 40.3% in 2017. This increase is explained by the beginning of R&D capitalization for EV programs and a number of projects in development, while our product cycle renewal is starting over with Clio V. Manufacturing and logistic costs had a negative contribution of €134 million, due to spending for modernization, higher depreciation and wage inflation that were not fully offset by high productivity gains. G&A cost increased by €59 million, mostly in H1. This came partly from Groupe Renault's digitalization efforts. Let's turn back to the operating profit step chart. As expected, raw materials were up, largely on higher price for flat steel. Other metals and all derivatives impacting our operating profit by €356 million. Groupe Renault's pricing efforts explained a positive mix/net price/enrichment effect of €261 million despite the negative impact of lower demand for diesel powertrain. This stems from price increases in major emerging markets, which partially offsets weaker currencies, but also from some increases in Europe to cover regulatory costs. Volume and partners impacted negatively for €329 million, this is explained by the decline of our business with partners and to a lesser extent to the slight decline in volume of cars sold. RCI Banque and other businesses contribution rose €243 million. This results from the increase in RCI contribution, which I will comment in detail in a minute, and our spare part business dealers and buyback retreatment. Note that this box was impacted negatively by IFRS 15 by €112 million. Currency was the main negative on this bridge and weighted for minus €772 million. The Argentinian Peso was the main negative contributor. It is fair to add that this box would have been worse without our export business from Turkey that mitigated the pain from the collapse of the Turkish Lira. AVTOVAZ contribution increased by €149 million versus 2017. As already mentioned, this contribution includes positive one-offs from provision write back and take-or-pay payments. Without these one-off effects the margin would have been 4%, this confirmed that AVTOVAZ is on solid recovery path. If we continue down the P&L with other operating income and expenses on slide 12. These items amounted to a negative €625 million versus negative €48 million in 2017. This sharp deterioration stems mainly from two factors. On the one hand the consequences of the Argentinian crisis that led to impairments for more than €200 million and on the other hand restructuring expenses for €300 million, mainly relating to early retirement measures in France. Let's continue down the P&L. Net financial income and expenses improved slightly to a negative €353 million. Please note that 2017 has been restated for changes in the method used to account for redeemable shares. Improvement in the group funding cost allowed it to absorb €31 million expense related to the application of accounting rules linked to hyperinflation situation in Argentina. On the slide 14, the contribution of associated companies primarily Nissan came to €1.5 billion compared to €2.8 billion in 2017. Nissan's contribution is down €1.3 billion compared to 2017, which included a nonrecurring income of €1 billion linked to the U.S. tax reform and the capital gain on Nissan's sales of it's interest in Calsonic Kansei. If we go back to the P&L on slide 15, we see that the net tax charge for 2018 came to €723 million compared to €906 million in 2017 with the same tax rate of 27%. Bottom line, net income after tax declined to €3,450,000,000, down 35%. If we exclude nonrecurring items already mentioned for Nissan in 2017, net income would have been down 19.5%. Having completed the analysis of the P&L, now let's turn to slide 16 which shows the change in the automotive cash. Cash flow from operations totaled €4.4 billion versus €4.3 billion in the previous year. It has been penalized by lower operating profit, but benefited from the prepayment of RCI dividend for €150 million. Changes in the working capital requirement improved €0.8 billion and showed our continuous effort to optimize our working capital management. Net tangible and intangible investment came to €4.7 billion, this is almost €0.8 billion higher than in 2017. This expected increase came mostly from higher capitalized R&D already mentioned. We have also prepared our industrial base for upcoming new products and increased our capacities in new generation of powertrain. Our global spending in terms of CapEx and R&D exceeded 9% revenue as announced with Drive the Future plan and reached 9.4%. Part of this situation came from the ForEx impact that lowered our revenues when most of our R&D spending is in hard currencies. Investment for leased vehicles were similar to last year. Dividends received from listed companies in the period totaled €0.8 billion, while dividend paid during the year amounted to €1.1 billion. Financial investment and others represented a cash out of €0.3 billion mainly used for several acquisitions notably in China and the funding of Alliance Ventures capital fund. AVTOVAZ recapitalization led to positive impact of €0.5 billion on our cash position, Groupe Renault net automotive cash including VAZ increased by €0.5 billion to €3.7 billion. Slide 17 shows the status of our inventories at the end of the year excluding AVTOVAZ. Global stocks stood at 622,000 units versus 613,000 at the end of 2017. Part of the increase came from some industrial issues at the end of the year that should return to a normal situation soon plus high inventories in Turkey following the collapse in demand. This level represented 70 days of supply versus 57 days at the end of 2017. The ratio has been largely influenced by low sales volume in the fourth quarter of 2018. RCI Banque continues to deliver with a new record year as shown on slide 18. Commercial performance in new financing increased by 1.5%,up 3.7% in Europe. Average productive assets grew 12% to EUR 44.4 billion, driven by growth in the European region. Net banking income increased to 4.3%, up 23 basis points with a combined increase in financing and service activities. As of 2018, the cost of risk includes the application of IFRS 9 that requires provisioning on healthy outstanding. Despite the negative effect, the cost of risks stayed at a very low level of 33 basis points compared to 11 basis points in 2017 which included few positive one-offs. This confirms a robust acceptance and recovery policy. Operating expenses amounted to 1.27% of average performing assets, down five basis points compared to last year. With a cost-to-income ratio of 29.2%, RCI Banque demonstrates its ability to control cost, while accompanying strategic projects and business growth. Pre-tax return on assets reached 2.74%, return on equity reached 19.2% versus 18.6% in 2017. This is the best level in the last five years. And bottom line opening profit reached EUR 2,204 million or 14.7% increase mainly linked to good commercial performance. The review of RCI performance complete my presentation. And I now give the floor to our CEO, Thierry Bolloré for a review of our 2018 key achievements and presentation of Renault outlook.
Thierry Bolloré: Thank you, Clotilde. And ladies and gentlemen, good morning. I'm very glad to have you today for the presentation of our 2018 results. I will highlight the 2018 key achievement before commenting, of course, the outlook for 2019. And, of course, there is a one very important thing which is clear for us it's to meet our objectives of our strategic plan Drive the Future. 2018 was clearly a challenging year in which we faced both expected and unexpected difficulties. In times of particularly strong headwinds, Renault showed great resilience and as our CFO just said the commercial and financial results demonstrated our ability to adapt and we successfully generated profit in each and every region worldwide. We delivered record sales, positive free cash flow and virtually sustained operating profit margin in spite of strong adverse conditions, particularly in the second half of the year. We confronted the unexpected collapse of some markets, particularly in Turkey and Argentina, as well as the Iran market shutdown. We were impacted by raw material price increases and highly diverse exchange rates. ForEx penalized our revenues by EUR 2.2 billion. And as the European market, we did our best to adjust to WLTP. We anticipated an evolution of the energy mix. It was faster than expected. We were able to adapt with a slight delay, but to the sliding down of diesel and strong demand for petrol engines we answered. To give you a quantified objective, the idea of how external effects strongly impacted our results, we calculated what our 2018 performance would have been without the main headwinds. The picture is quite clear. All-in-all, 2018 headwinds cost us about €3.6 billion in revenues and one point of operating profit margin. Nevertheless, we grew in sales and market share and virtually sustained our profitability. This allows us to propose to maintain our dividend to €3.55 per share subject of course to approval by the next annual General Shareholder Meeting. Now let's move to what fed our growth and performance in 2018. Our first strength comes from our products. In Europe, we maintained our leadership in the B segments thanks to the continued success of Clio, Captur and Sandero. Clio remains the second best selling vehicle and Captur the first crossover in its range. Dacia brand posted a new sales record in Europe with more than 0.5 million cars sold and a record market share of 2.9%. This success is partly driven by the performance of the new Dacia launched late 2017. Our success goes beyond Europe. In South America we successfully adapted Kwid to fit the market's need. Over a year after its launch Kwid has become number one in its segment in Brazil and Argentina and this performance enable us to earn roughly one point of market share in both countries. In Brazil we reached 8.7% market share and Argentina 14.8%. In Russia, two years after the launch of its recovery plan AVTOVAZ confirms its recovery. It's recorded at 15.6% sales increase with a 20% market share, thanks to the successful renewal of the launch. Lada Vesta has become the best selling vehicle in the country. While benefiting from significant positive one-off, AVTOVAZ reached a 6.7% operating margin confirming its recovery. In the electric vehicle segment, Renault confirmed its European leadership with a 22.2% market share. Groupe Renault worldwide EV sales increased by 37% over the year. Growth was driven of course, but our bestsellers ZOE and Kangoo Z.E. which sales increased respectively by 27% and 106%. EV is now representing more than 3% of Renault Group's revenue. The profitability of our EV segment improved significantly, thanks to the volume growth scale of course and also our efforts to reduce costs. EV will continue to be a growth driver in the upcoming years and in 2018 we made significant investment as you know to expand our production capacities and develop the third generation of electric vehicles. With a diversified profit pool and geographical mix, Renault showed its resilience in 2018. Another major contributor to our performance is a strict cost discipline. We reaped the fruits of our ongoing efforts to boost our competitiveness in 2018 and we generated more than €250 million of productivity gain. Focusing on manufacturing, we reached 77 vehicles per headcount. Compared to 2017 this is a 7% productivity improvement. Five of our plants have already met or exceeded our 2022 target of 100 vehicles per employee. The Alliance is also bringing its efficiency, in 2018 with synergies amount for Renault at €2.4 billion. Now let's move to the outlook. 2019 will indeed be a year of moderate growth, but a year of growth nonetheless in line with the objective set in our strategic plan Drive the Future. Our new governance with the arrival of Jean-Dominique Senard as Chairman of the Board is yet another lever to meet these goals. We must keep in mind that the comparison between first half 2019 and first half 2018 is challenging as we benefited from strong sales during the first half of last year. 2019 should start in a deteriorated context before getting better. We see three main risks for 2019. Firstly, there is uncertainty around European demand. Sales are likely to come under pressure in 2019 as economic growth starts to falter and will be impacted by Brexit. Secondly, regulation implementation. We are prepared for known regulations with a clear roadmap and robust action plan. Nonetheless, the complexity of these regulations carries some uncertainties as to their implementation not to mention the lack of visibility on national taxation and cities' environment policies. Thirdly, we face cost inflation particularly on some raw materials like, of course, palladium; and lastly, in high inflation countries, we anticipate some pressure on labor costs. We also see major opportunities for 2018. Our strong product plan with launches accelerated particularly in second half of 2019. We have a lot. We are expecting the new Clio and Arkana to contribute significantly to our growth. In India, we will launch a new vehicle to resume our growth. And EV, we will also be a growth pillar, particularly, in China with the launch of our new electric vehicle K-ZE this year and we're also stepping up our EV offensive by investing as you know in GM EV, the fifth largest electric vehicle manufacturer in China. Another opportunity is our pricing policy. The group will continue to do its best effort to price the largest parts of additional cost related to regulations and product enrichment. This should be helped by a disciplined pricing environment as all major players in Europe share the same situation. To drive more flexibility and enhance our pricing policy, we implemented a new sales organization at the end of 2018, splitting marketing and sales functions. Finally, we will accelerate our cost efficiency and beyond the alliance benefits which will continue to feed our performance, we just launched a brand-new program called FAST. FAST is a valuable tool to accelerate and push ahead Groupe Renault's transformation and our ways of functioning towards more agility. This will result in three significant improvements in our performance and efficiency. First, we will reduce development cycle to less than three years, always remain as close as possible to our customers' expectations and to optimize our R&D resources. Second, we will improve our responsiveness and efficiency by speeding up our digital transformation through new ways of functioning. Third, we will reduce fixed cost by 5% per year over three years. Moving on to our guidance for the year. In 2019, the world markets and European market are expected to be stable compared to 2018 provided there is no hard Brexit. The Russian market is expected to grow by at least 3% and the Brazilian market by 10%. Within this context, Renault is aiming to increase group revenue at constant rates -- exchange rates and perimeter to achieve a group operating margin around 6% and generate a positive automotive operational free cash flow. Ladies and gentlemen, in this context I've just described we confirm our Drive the Future objectives, exceed €70 billion in annual revenues and achieve an operating profit margin of at least 7% by the end of the plan. And we will do so while maintaining financial discipline with an objective of positive free cash flow every year of the plan supported by a total cumulative target of cost saving linked to €4.2 billion. Thank you for your attention. We will now take your questions.
A - Thierry Huon: Thank you, Thierry. We will open now the Q&A. So we're going to start with some question from the room and then we're going to take some from the call. Thomas as always, number one.
Thomas Besson: Thank you for the presentation. I have three questions please. I start with the situation in Europe and your inventories. Can you talk a bit more what you discussed on the energy mix situation the development of your business in Europe in Q4, which has been I think a bit below your own expectations, the higher inventories? And what you anticipate for the new testing cycle EVAP and all those in 2019 whether it's going to be as well a disturbance for the European market? That's the first question. Shall I ask the others? Yeah. So the second question would be on the guidance. Would you be preferred to qualify what you should expect in terms of absolute group EBIT rather than your about 6% margin? Should we expect to broadly stable like consensus or do you expect the group EBIT to decline slightly? And thirdly, can you detail a bit more what you discussed about the product momentum, which is a bit skewed to the second half but basically discussed the launch of the CMF platform for Clio and also the timeline for the new EV products outside China precisely in Europe? Thank you.
Thierry Huon: Thank you very much. So let's start. Okay. First question about the energy mix anticipation and the impact we are expecting from EVAP and the implementation.
Thierry Bolloré: I think that the second part of last year was pretty shaky as you know very well because there had been many anticipation of sales, which was in fact during a summer time more or less as you could and therefore it was a compensation. But all in all, Q4 was in line with our market share and frankly speaking we got proofed WLTP in a way, which was very much under control I can say. And the reality of the change in the market conditions as well has impacted the fluctuation that we have seen at the last quarter, but frankly speaking we were in line with our market share and we were in a healthy situation from the sales channel standpoint and the way we have been selling our cars, which means no discount on these type of things. So I think that we have gotten out of 2018 in a healthy manner and we are entering 2019 in a healthy manner as well, which is very positive. For the energy mix change, it is clear that we can see permanent drop of diesel. We are much more flexible that we used to be in the past. So now we can really answer the demand in terms of petrol engines and so from that standpoint we enter as well in 2019 in a very strong position. Of course we have learned a lot from WLTP. WLTP was a very tight event for all the industry for us as well. We were in the -- we couldn't answer to this challenge in a very good manner we believe according to plan. And we have learned a lot, which means that for the next steps of regulation change that you mentioned EVAP for example, but we have also the Euro de fuel [ph], which is also coming up our teams feel much more solid much more robust in order to answer to these steps with the right experience that we've got from WLTP. So this for me is very key for our next year.
Thierry Huon: And second question is about the guidance. Would you like to give any numbers in absolute terms rather than the guidance we gave in percentage terms?
Thierry Bolloré : Well, how our feelings in terms of guidance and we stick to that and for sure we take into account and the uncertainty that we have into the market. It's very clear for example in Europe that, suppose that you have a hard Brexit well the situation would be completely different. Okay? At the same time, we are fueling the company with projects, initiatives, transformation to the extent that our goal is to increase the water under the keel, if you want and make sure that we have new margin of maneuver so that we can finance our ambition, because this is the goal. We have many ambitions. We need to finance them. We need to be healthy. We need to continuously get on the road map of our mid-term plan. And that's the reason why we have launched for example this FAST program in addition to what we have done in the past for all the monozukuri activities in addition to what we have done with digital. Digital is going to deliver close to one billion of value in 2019. And we delivered huge amounts last year as well. So all these activities in the company to improve our way of functioning to be much more fast, active, agile is really bringing significant amount of money. So far we can be in a healthier the situation as well.
Thierry Huon: So the last question is about the product momentum. Could you tell us a bit more about the calendar and what's coming?
Thierry Bolloré: Clearly speaking we can say that the first half of 2018 will be a commercial year which means that there will not be so major launches at the first part of the year. And therefore all our price discipline that we have put in place, the new organization also that we have put in place with Olivier Murguet who is in charge of corporate sales as well as regions business units is absolutely key. And also start delivering the expected results. And by doing that, we enter the second part of the year with all our big launches that I've mentioned and which are going to of course help and fuel our growth and profitable growth.
Thierry Huon: Thank you. François?
Francois Maury: Francois Maury, ODDO. A question related to the Alliance. What seems to be new at least for me is the level of distressed among Japanese employees, Nissan employees against Renault and the Alliance. So I would be interested to know if it's something just new for you would you consider is focused on a limited number of people or if it is shared by a lot of people within Nissan? And a related question about the current running development project what does that mean? Does that mean that you will be late? In fact can you continue to work together? Are you going to be late on certain project? Could you illustrate that with certain products I'm thinking especially on EV products?
Thierry Bolloré : This is a very good question. First of all, you have noticed that all of us in the Alliance we want more Alliance, we want better Alliance, we want more efficient Alliance. That's a very key point. I can tell you that since the beginning of these events we have paid Saikawa-san, Masuko-san and myself a very key attention to make sure that the disturbances wouldn't reach the operational level. And every month, we have done in the face-to-face as well that to make sure that we are permanently fueling this determination to improve the alliance. So this has happened. And I can tell that frankly speaking all the big projects that were online we are taking care, we are making sure decisions have been taken, and we are making sure that any type of mistrust will not reach the people of the Alliance. At the working level, I did not see that. Of course, there is anxiety because of what has happened, people are questioning themselves. But the reality of what's happening is determination to move forward. And the projects are there. Decisions are there. And testifying what I'm seeing here. At the same time, it is very key and even before the events of November that we can improve the Alliance. That we need to improve the Alliance. We need to improve the Alliance, especially in terms of speed, in terms of simplicity of making decision, in terms of answering to the new landscape, which is one of the automotive sector in the world today. And speed is paramount. Speed is paramount. Delivering synergies is paramount, and making sure that all our innovation is being brought into our new offers in terms of product or services is also absolutely key. And that's what we're working at, at the moment. So frankly, of course, the disturbances of the last events are major, their reality, but reality as well of what's happening on the field is absolutely major. And frankly, there is a huge dynamic here. A lot of progress in front of us and now we have to see how we can make the global Alliance much more efficient than what we have even today.
Thierry Huon: Philippe?
Philippe Houchois: Thank you. Philippe Houchois, Jefferies. I've got three questions, if you don't mind. The first one, one of your key indicators in the past was CapEx and R&D spending as a total of about 9% or less of revenue, if my sums are right, it's 10.6% this year. Just wondering if -- I'm sure there's all kind of reasons why and but what's your plan? To get it back down to that level? Or if it's going to be structurally higher going forward? And should I give my other questions? Yes, I can? The second one maybe more for Clotilde is, are you now in a position where you could actually pay a dividend out of RCI again to the parent? I don't think you need to now, but just in case, for example, the dividend from Nissan doesn't come through there's compensation there? If you can also, we hear from U.S. competitor’s full energy and the ability to pay 100% of earnings in dividend, I doubt that. But I just want like your view -- what's your view about the ability of actually joining this into a very, very significant dividend payer. And lastly, on the synergies. So you're telling us €2.4 billion this year in line with what you said before. We saw it €5 billion, €6 billion over the years. We never saw it in the numbers at Nissan over here. My question is what is it that means your synergies are leaking that you cannot retain them? Or are you prepared to actually change the way you calculate them and present them so that we can actually give them some credibility? Just frankly that number is meaningless at this stage.
Thierry Bolloré: If I may start with the last question. Concerning the synergies, the €2.4 million, we know exactly how much we have in cost reduction for example, and for us its around €700 million if my memory is good. So we know where they are. There is not only cost reduction, but we know what is cost guidance, what is CapEx guidance, et cetera. And we know what is fueling our P&L at least in Renault this very clear and it's under control. That's a key point to us. Your first question?
Thierry Huon: It was about the R&D and CapEx ratio, Philippe, had a surprising number at 10.6% it's more a like 9.4%, so slightly above the -- what we said previously. So is this to continue or...?
Thierry Bolloré: I think that we -- if you remember in the road map of our mid-term plan, we mentioned and we said that there will be a peak period of expenditure for R&D and CapEx, which is very much linked to the efforts that we are fueling in order to have the right product plan, the right powertrain, and of course, the right technologies ready. So there is a link between this percentage and the fact that we have had this headwinds on our turnover, very simple. But the vision we have today is that the peak has been reached. And so that's why, I'm not very much anxious that this percentage provided that we have no major events on the market, we've turn over but then there will be adjustments as well, it's going to stabilize and get back to the level that what we expect.
Thierry Huon: And the last question was about RCI.
Clotilde Delbos: Yes. Just one precision maybe on your number of CapEx is probably you took also leased vehicles in the number of investment which is not what we should take. On RCI, very simple. You're right we did not pay dividend for the last two to three years for one very simple reason not because RCI could not, because RCI was put under the supervision of the European Central Bank and hence had to increase their reserve and liquidity in terms of reserve mostly in terms to satisfy the European Central Bank ratios. This period is behind us and actually what I said earlier is, we started to repay this year a prepayment on the 2018 dividend which will be fully paid -- I mean the last part will be paid in 2019. So now we can start back paying dividend. Are we going to pay 100% of earnings? I don't know. What is more important is the ratio that we have to satisfy both for rating agency and for the European Central Bank. So that's our policy and any way for RCI like for the rest we prefer to be on the conservative side and only pay what we can pay.
Thierry Huon: Okay. We're going to take our first question from the call. Who is on the line?
Operator: We have a question from Dominic O'Brien from Exane. The floor is yours.
Dominic O'Brien: Hi, everyone. Thank you for taking my questions. I suppose -- the first one's on the Alliance. I suppose it was this time last year that the Renault board quite publicly tasked going with making the Alliance irreversible. And I don't want to get into what's happened in the past, but looking forward is this still the primary goal of Renault? And if so what does Renault now have to do to make the Alliance irreversible? And in a related question, can you confirm the press reports that Renault was indeed pushing for a merger with Nissan? And if that was rejected by Nissan, what do you see now as the next best solution? And would Renault ever consider selling down its stake in Nissan for example? Or would that send the wrong signal on irreversibility? And then just sorry -- one final question just on the operating performance. Could you give us more details of this new FAST cost savings programs? What's the biggest driver of this 5% fixed cost reduction? Is this focused on labor savings? Is this focused on a particular region? And how should we think about 2019 and does that mean cost savings will go ahead of this €700 million run rate that you guided to in the midterm plan? Thank you very much.
Thierry Bolloré: Okay. So I will start with the Alliance. Clearly speaking for us our goal with the Alliance has not changed which means that we want to make it irreversible. That's very clear. And that's clearly also the discussions that we have with our partners. I met Saikawa-san several times since the events. I've been discussing with him. Jean-Dominique Senard met him also in Amsterdam two weeks ago where they spent a couple of hours I can tell you many hours to discuss. We discussed about it. We discussed about, what's next for sure. And we want to make sure that we are getting back to stabilized situations so far we can think for the future and how we'll make it happen. So that's very key. Concerning what you mentioned about the -- what may have been a plan previously from Mr. Ghosn frankly speaking I cannot confirm or deny. The reality is that today we are in the situation, but we also are totally convinced that we have to move forward and to have to make it much more efficient, as I said already, much more leasable as well, which is very key for us. And make it such that we can go faster, because this is very key for all our companies with higher commonality, higher synergies for the good sake of each companies. Next?
Thierry Bolloré: Second question, about FAST program. Could you say a bit more about it in terms of implementation in our expense and the impact on 2019 savings? FAST is a continuum. Why is it a continuum? Because from the digital experimentation which became Renault Digital, which is now a war machine in order to deliver digital tools digital mindset inside the company changed completely our system. It has also helped us to learn how to work much more efficiently, especially for white-collar population. And we discovered the DRY methodologies and when we were looking at that listening to our people being so enthusiastic and so efficient to deliver, with quality and speed, cost. When we discovered that this methodology could be applied at scale to the company. That's why, in 2018, we started to heat up, to warm up and to make some heavy experiments, we could say, in some areas of the company. And we discovered we had appetite for that. We could do it. That it was very much aligned with also our Renault way which is key to enhance the quality of our people at the disposal of customers, of the company, the shareholders and themselves. So that's the reason why we have decided and this decision was made, frankly speaking, just after summer time to go at scale. FAST means Future-Ready At-Scale-Transformation. And that's the reason why, as well, that we have created a new direction which is reporting directly to me, which is a direction for transformation of the company. So everybody's concerned. We of course have a huge -- how to say, huge challenges and first priority with engineering. Because as I mentioned, we know that in engineering we have to speed up in order to reduce the cycles and the lead time at which we put new products markets on the market. So we have a big challenge in engineering, we have big challenge of course in marketing and sales. We have big challenge in fact in every direction of the company, so far where processes are being accelerated with newer functioning. So far we are faster, leaner, quicker and of course much more cost efficient. And that's reason why the consequence of that is significant gain in terms of fixed cost reduction and well, frankly speaking, it's close to €1 billion figure within the next three years. It's, as well, internal fixed cost, it's also external fixed cost, because it's half-half, more or less, in our cost structure and this is what we are aiming as well. So far we gain in margin, we gain an ability to finance our project and to satisfy all our stakeholders.
Thierry Huon: Thank you. So we're going to take another question from the call. Who is on the line?
Operator: Next question comes from José Asumendi from JPMorgan. Sir, please go ahead.
José Asumendi: Thanks very much. José, JPMorgan. Just a couple of questions please. The first one again on this fixed cost reduction initiative. Can you help us understand a little bit in terms of worker reduction, what does this mean for you and a little bit some color around white-collar and blue-collar? And second question, please, for Mr. Bolloré. And I apologies for my question, kind of, again to the Renault-Nissan alliance. Can you just confirm that as we look at vehicles coming on the CMF-B platform 2019 and 2020, can you just confirm that currently there are no delays of contracts on workers and suppliers for vehicles coming on this architecture in the next coming 12 to 16 months? Thanks so much.
Thierry Bolloré: So if I start with the last question again. CMF-B is on track. I mean CMF-B which is our new Alliance platform is going to be the platform in which we put the new Clio which is going to be delivered on time. So I think there is no specific issue on this topic. If I come back now it was under -- on...
A – Thierry Huon: Under fixed cost reduction.
A – Thierry Bolloré: Under fixed cost reduction. Well as I mentioned, we have as well internal fixed costs and external fixed costs. And this helps a lot to manage in a very smooth manner as well the upscaling, the rescaling, the mobility of our people and we have it done already. It's experimental. We have done it last year for example for the ISI team and it was extremely interesting to see that the appetite of our people for this type of programs. Why? Because you make the right diagnosis about where our competencies. Is it okay? Not okay? Are the people on the right seats? How we can help them to get upskilled? How to get into mobility programs? And this dynamic is creating a lot of enthusiasm and especially with the new way of functioning, you delegate much more responsibility and power to the people at the level where they can make decisions and this is hugely part of the acceleration of the delivery that I was talking about. So that's why we have no specific issues. And I can tell you that our partners in the company trade unions they were very enthusiastic as well about this program.
A – Thierry Huon: Thank you. Is there any question from the room? Stephen?
Q – Stephen Reitman: Thank you. Stephen Reitman, Societe Generale in London. I have two questions. The first one, you don't give regional profitability, but could you give us maybe some qualitative information really about what the change has been in the regions in terms of improving profitability in Russia and in Latin America? And also the improvement as well in electrified vehicles as well just to get an idea about what's been happening then in Europe. So just we get some idea on that. And secondly, with the new models that you're going to be launching, we had some insights into the last year when we visited the Technocentre. You certainly seem to be spending more money in terms of the quality of the vehicles. To what extent -- how confident are you guys that this might involve then an improvement in pricing as well, the pricing power of Renault vehicles going forward? Thank you.
A – Thierry Bolloré: I think your two questions are pretty much connected. You're absolutely right to say that the international footprint of the company is a big asset today. And that's why it's so important that each region is also making profit and I can tell you that Olivier Murguet is very much attentive to make sure that each region is permanently making progress on its profitability base. We are clearly as well having a very key attention to the pricing of our cost not only for the new cars and that we already talked about that but also on the existing cars. And for example -- I will take the example of U.K. In U.K., we were in this situation. We had to clean up a little bit our business and this was done under the leadership of Olivier as well by making sure that we are getting back on the right channel, improving our pricing, accepting sometimes a volume drop or a market share drop for a while before coming back in a much healthier situation. This is exactly what's happening everywhere in the world today to make sure that our profit base is getting more and more solid. Concerning the new vehicles, it is true that we are permanently making sure step-by-step generation after generation that our cars are sustaining the improvement of the brands and from the brands getting as well a higher pricing power in the markets. And we are playing with the portfolio of our brands to make sure that we occupy the full field but to fulfill with each brand position where we want it to be, so far we can optimize the pricing everywhere on the spectrum. So this is exactly what we're doing.
Thierry Huon: Okay, thank you. Bruno, last question from the room.
Bruno Lapierre: I'm Bruno Lapierre, Crédit Agricole. I had a question on the free cash flow. When you look at 2018, the free cash flow is coming in mostly from the working capital, which was positive and actually the cash flow from operation did not cover the investment. When we look at the guidance for 2019, do you think that the free cash flow that you're targeting is coming from the operations? So mainly that you will get in fact a clear free cash flow, that is coming, again, from the working cap balance?
Thierry Bolloré: No, it has clearly to come from operations. And it has clearly to make it such that more and more on a regular basis we are also managing from a cash standpoint our operations. This is not yet totally in our culture to be honest with you. Okay? And we are improving step-by-step we have put in place special programs. We have the control teams, we have the region, we have the businesses to make it such that we provide also the tools for the business to have a permanence not only once every semester, a cash management approach but rather permanent cash management approach with the right tools to make it happen. So for sure, for us, it's very key what you say. We want the cash to come from every situation. No doubt, very key.
Clotilde Delbos: Yes, if I may add. You know that working capital is extremely volatile. And it depends on what is the situation of the market in the last quarter. So we cannot depend on working capital. So I fully -- as Thierry said, we are very vigilant on that. This year was indeed not a very good year in terms of working capital coming from the operation, but this is clearly in the radar and we are making all the effort not to depend on working capital. Because, again, it's very volatile, depending what is the market situation on last quarter and we don't want to depend on that.
Thierry Huon: We will turn back to the call. Any questions?
Operator: Next question comes from Horst Schneider from HSBC. Sir, please go ahead.
Horst Schneider: Yes, good morning and thanks for taking my questions. I have got some guidance related questions. Maybe you can be a little bit more specific about the guidance walk down items for 2019, particularly what we should expect ceteris paribus for FX for raw materials and also if we can continue to expect a pickup in the monozukuri savings? That's number one. Number two question is on the midterm plan. You reiterated this morning the targets. I personally find the €70 billion revenue target, very ambitious, given the fact that some emerging markets just have been worse than expected just -- let's think about Iran, also China. So if you want to achieve the 7% operating margin, is it necessary to meet the revenue targets, or it's more independent? And can you confirm that the monozukuri savings will come in as expected towards 2022 even if the volumes are worse than expected? Thank you.
Thierry Bolloré: No problem. Actually I will ask in a moment to Madame Delbos to answer about the externalities hypotheses of our plan. If I may come back to the midterm plan, the big picture first. Well, frankly speaking, we had some provision in the figures that we have contemplated, disclosed in terms of volumes. So we have some reservation of volumes, which were already embedded in our plan. And that's why we don't feel at risk in the way we should manage the increase in volumes on one hand and also, of course, of revenues. So we have many opportunities that we are at the moment triggering in order to compensate, the headwinds on one place to tailwind on over opportunities that we have not yet really matured, cultured and worked out. So that's why we feel confident today of that situation. With the visibility we have of the state of the world, that's very clear. You had another question?
Thierry Huon: About monozukuri. Are we on track or do you have other plan?
Thierry Bolloré: So monozukuri, you understood what Madame Delbos said about the result of this year which is quite exceptional because of the support -- exceptional support that we have provided to some suppliers for which were in very difficult conditions. So this is very unique piece of action. So that's why the dynamic of the monozukuri is there. It's sustaining with our €4.2 billion cost savings that we have in our midterm plan. And we have as you understood opportunities already being launched in order to continuously fuel higher our ability to have good results in monozukuri. Now I would like to take -- to give the floor to Clotilde concerning externalities.
Clotilde Delbos: Yes, in terms of what we could say obviously we don't have a crystal ball for the external events. But I would say for FX, if I look at the spot price today, it's still a headwind, but a lower headwind than what we had in 2018. The headwind is going to be still high I guess in the first half, because obviously some of the drop arrived in the second half, so we should have still some headwind in the first half. But globally for the year, the impact on the operating margin should be lower than what we had today. Again, no crystal ball, but that's the spot price. In terms of raw material unfortunately today same thing, if I look at the spot price, it's still going to be a headwind, probably in the same type of magnitude than what we had last year and in 2017. The main culprit is palladium. As you know we use quite a lot of palladium and the price of palladium is sky rocketing. So that's the main culprit the only -- I think that's the main one, right? So basically in terms of raw material probably exactly the same headwind as what we had for the last two years.
Thierry Bolloré: Then if I may add something. The interesting situation as well about pricing because this for us is very key to see that the industry is also very conscious of what's happening there. And at the end of the day, we observed that there's a quite interesting increase of the global pricing in addition to our personal ambition of Renault to make it more efficient and to be really -- to have quality of sales higher and higher. So that's why the global context is such that we expect to have the ability to get the value from these increases from the pricing.
Thierry Huon: Okay. Next question from the call?
Operator: Next question comes from Raghav Gupta from Citigroup.
Raghav Gupta: Thank you. I have got three questions and the first one's on the second half 2018 EBIT bridge just a follow-up on I guess Horst's question. And when I compare the revenue and operating profit impact from FX price and mix and to the first half 2018 results and comparing the impact that came through in the second half of 2018, there seems to be a bit of a disconnect with FX impact to lower negative and thereby kind of helping your results while mix price enrichment was much lower. Just wondering if you could talk a little bit about kind of this firstly? Then secondly coming back to the FAST program. Historically, cost savings have always been talked to -- with reference to your Alliance partners and the initiatives you've announced today, are they going to be in addition to the €4.2 billion of monozukuri? And if it is independent of this target will the program benefit other Alliance members? And then finally, just on Dutch share, historically this has been a strong contributor towards auto profitability. I know you don't disclose margins by brand, but can you just help us try and understand the magnitude of the opportunity here? How much below peak is the brand currently? And what do you see as being the big drivers of improvement other than just I guess the model mix and improvement on that side? Thank you very much.
Thierry Huon: Okay. So the first question is about the ForEx impact in H2 and the drop through from the revenue lying to the EBIT line and the mix price enrichment in H2 as well? And then question about FAST. What is coming on top of the Monozukuri? And this is only from Renault? What it is also for the Alliance? And then a question I guess that we are not going to answer is the profit by brand.
Thierry Bolloré: For sure we'll not. So, I will let the floor to Clotilde for the first question. But before that I think concerning FAST and its impact onto the Monozukuri. For sure we intend to continuously fuel higher the Monozukuri, that's the goal as you understood. We want to keep the basis. And you understood for example the figures in manufacturing are very steadily in terms of productivity delivering every year the same productivity. So, we keep the basis -- we keep the basics as well and we fuel with new programs to get higher in Monozukuri. That's our goal. That's very clear. Concerning the impact of FAST, beyond the company, it's a very good question. It's a very interesting question, because for sure when, for example, Gaspar Gascon who is an Alliance guy in engineering, right, is fueling with absolutely key projects our ability to reduce the lead-time for delivering our products. He's doing that with Alliance teams. It is clear to improve the Alliance functioning the way of working together in a FAST mode -- FAST like the program is absolutely key. It's very important that in the Alliance we are all taking initiatives in each companies and then we are sharing the initiatives. That's the way we have improved for example our industrial system with the Alliance production way. That's the way we are improving also our launches. Our programs have been improved drastically thanks to copying what Nissan was doing much better than us. And we are doing the same with digital in the other direction with FAST in the direction that maybe is coming from us, but we are joining force in order to improve as well the Alliance way of functioning. Clotilde?
Clotilde Delbos: Yes, so on the difference between H1 and H2. Clearly, H2 has been quite impacted by many things as you know; Iran, Turkey, Argentina and those are the two main elements. So, -- but you're right in terms of FX, the impact of FX on the topline was slightly lower in H2 than it was in H1. And the main culprit of H2 FX headwinds was the peso. If you look at the drop through in terms of the operating margin, it's true that it's completely different on the operating margin because of the currency basket. The peso went directly to the operating margin, but another one who moves a lot in the second half was the Turkish lira. And the Turkish lira on the contrary is a benefit because it is an export base to us in the operating margin as we sell a lot of Clio produced in Bursa sold to Europe. So, that's why you don't have the same impact in terms of drop through in terms of H2 to H1. So, that's the first question. Then the second question on the mix -- on the price increases. If you look carefully we have a better price increase conversion in the -- second half than we had in the first half. I think its seven points better in the second half than it is in the first half when you float at net of discount. But in the second half in the mixed price enrichment despite these efforts on the prices, we had some mix and content negatives that did lower the impact that you see on the top line.
Thierry Huon: Okay. We'll be back in the room. Philippe, again.
Philippe Houchois: Yeah, sorry. Just a question on the ZOE. You're raising your game on the ZOE in terms of range updating the product. Now by the end of the year, we may stress that we may have a $40,000 Tesla on the market. There will probably be a Volkswagen at least no dealerships will start during the end of the year. Where do you position ZOE against Volkswagen and Tesla looking into probably 2020? And at what point do we have another car from you because ZOE has still been kind of a Clio to be kind and doesn't really have the same maybe versatility as what Volkswagen's looking at or Tesla is trying to convince clients they have.
Thierry Bolloré: So clearly ZOE is not a Tesla that I confirm. And we don't have the intention to suddenly body build our ZOE even in the future. No, we have a full range of electric cars that we have expressed the way we are going to have a vast portfolio of electric cars in the future. It's coming up. It's getting ready. We have our common platform the EV 2020 within the Alliance. We are working at it, we are preparing our products and this is going to be major in order to fuel all segments with the right offer and very modern offer and it's going to come quick, okay? We also have as you understood the ability to fuel the lower parts of the segments with the smaller cars, very modern cars, which would be very accessible as well. So we are going to have a full range of electric cars in order to fuel the market and be extremely competitive. The big advantage we have is that we are making money and good money with some of our electric cars who are ready. Good money means at the level of our profits today so -- which is an experience that we are the only one to have today. And globally speaking now there is no longer any anxiety to sell more electric cars so far we would diminish our products. It's over. It's exactly the contrary. We are full, speed full throttle on this. And that's why we have been investing significantly in 2018 as well in order to have no limits to answer the market needs. We are investing a lot as you know for the next projects, not only in Europe, but also in China and all over the world. And we are making that happen because we have no fear to fuel not only the growth but the profitable growth that we need with electric cars today. So the offensive is there.
Thierry Huon: I will check that there is no question on the call first. Is there any further question from the call?
Operator: We have no further questions. [Operator Instructions]
Thierry Huon: Thank you. Thomas?
Thomas Besson: Thank you. Just a follow up questions please. Can you say a few words about the dividends? You've opted for actually not increasing the top up if not decreasing the top up. I understand your share price is lower. I know you don't want to put a very high yield. Should we read that as something in connection with your FAST program and you don't want to piss off your French work force? Or why did you effectively choose not to continue this shareholder-friendly move to effectively pay part of Renault's dividend -- a rising part of Renault's dividend as Renault's free cash flow as a dividend? That's the first one. And the second follow-up, there's a big increase in the leasing share in Europe. Everybody's selling car by just giving a number to people maybe confusing them and allowing you to raise prices a bit more, I don't know. Can you talk about that Clotilde and the share of financing for RCI Banque in leasing and the impact it may have on residual value risk?
Thierry Bolloré: So, for the first question and then Olivia also can maybe participate to the answer. So, I'll let you think a little bit about that. But concerning the dividend, our choice here with, of course, with the board of the company was to say while we want to give confidence as simple as that. We are confident and that's the reason why we have chosen to be in a stable mode with the dividend that we have chosen. We are just confident.
Clotilde Delbos: Yeah. So, on the leasing share, yeah, it's true that it's a trend that we are looking closely at. Nevertheless, we have one very good instrument, I would say, or asset which is RCI. We are able today to offer leasing to fleets, to offer leasing to individuals. So what we are looking and working extremely closely with the sales with the European region, because that's mostly where it's happening in order to be prepared in case this trend increases and make sure that the piece of the cake that it does represent doesn't go to some other participant of the market. So, this is something we're looking closely. I don't know, Bruno, the percentage of leasing we have in our portfolio?
Bruno Ancelin: Now, it's quite low if we speak about the private customer. The only market quite developed is U.K. And to answer to your question about residual value, because I guess it's the most important point, we have the risk on residual value in U.K. and we follow very carefully in order not to have, let's say, bad surprise about the risk with this kind of product.
Clotilde Delbos: Yeah, this is followed very closely. And actually currently the residual value risk has been moving quite a lot last year. But the net of the decrease that you see on some products and the increase that you see on other products or materialization is not damaging us for the moment.
Thierry Huon: Okay. So, I guess, we have time for one last question. I heard that Daniel Schwarz is on the line. Question from the call?
Daniel Schwarz: Can you hear me?
Thierry Huon: Yeah, go ahead Daniel.
Daniel Schwarz: Okay. Yeah. Thank you. My first question would be the support for suppliers in Turkey, could you quantify that and would that be a higher or lower number in 2019? And the other question is in the other operating income the EUR 625 million, could you say what of that is cash effective in 2018?
Thierry Bolloré: Clotilde will take the second question. For the first one, yes, it's hundreds of millions, okay? So it is a big amount of money. And it's, we are managing in a way that it's not going to happen a second time. Let's put it that way.
Clotilde Delbos: On the second question, almost nothing is cash in, a small portion maybe of the restructuring expenses, but not that much. And actually it's not even an additional cash on the restructuring expenses, because it's, what we call in France disposed activities. So it's early retirement. So those are people who are still on the payroll of Renault and we keep on paying a portion of their salaries. So, it's not additional cash versus what we used to have. The rest being impairment, hyperinflation, things like that, it's non-cash expenses.
Thierry Huon: It looks like Horst would like to ask another question. So, Horst?
Operator: Next question comes from Horst Schneider from HSBC. Sir, please go ahead.
Horst Schneider: Yes thanks for taking the question again. To Clotilde, what is the impact of IFRS 16 in 2019? Will it lower your net cash? And then second question is to Thierry. Since we are now finishing the call my impression is that you just want to continue the plans that have been set on the Carlos Ghosn. Is there anything major that you would change or that you would say you need some more time let's say 100 days or until H1 maintenance also arrives that there's a bigger resetting coming up? Thank you.
Thierry Bolloré: No clearly speaking we have a midterm plan. We have a strategic plan and we have followed this road map very carefully. So this is very important for the stability of the company. I mean, the team which has designed the midterm plan is right there. We have done it together. We have done it with our partners as well within the Alliance. So this is a very key element of stability. And we just want to speed up and to go faster and to make it with a better pricing and get better financial results. Because we have high ambition and we have to answer to a changing environment, because this is true the environment is changing in front of us and we have to not only get prepared, but adapt to it with higher margin of maneuver. So this my goal. Clotilde?
Clotilde Delbos: Yes. On the last question, so we have not yet completely finalized the analysis, but our estimate so far is that it will have an impact between €600 million and €800 million on our balance sheet. So it's major, but that's okay I think it's less than what we anticipate for our competitors.
Thierry Huon: Okay. So I guess that we've reach the end of this call. So thank you for being on the call or being in the room. Of course, the IR team is fully available today to answer the further questions you may have. Thank you for coming have a good day. Good bye.
Thierry Bolloré: Thank you very much.